Sadayuki Hamaguchi: [Interpreted] We would like to begin the fiscal year 2021 third quarter financial results presentation of Nissan Motor Corporation. We are delighted to have so many participants for this event. 
 From the viewpoint of preventing the spirit of infection, we are using the Internet system as well as live streaming for this presentation as well. 
 At the beginning, let me introduce to you the participants on our side: COO, Mr. Ashwani Gupta; CFO, Mr. Stephen Ma. 
 Thank you once again. Now we will hear the presentation by COO, Mr. Gupta, who will speak on the Q3 results and outlook for the full year. Please take the floor, Mr. Gupta. 
Ashwani Gupta: Thank you, Hamaguchi-san. Hello, everyone. I wish you all a safe and healthy new year. Thank you for joining our earnings session for the third quarter period for fiscal year 2021. 
 For yet another quarter, Nissan delivered a satisfactory performance despite the continuing industry disruption caused by ongoing semiconductor shortages, the impact of Omicron variant and the natural calamities in Southeast Asia. As always, Nissan's priority remains the safety of every community and individual that we serve.  
 I want to take this opportunity to pay tribute to our employees and partners around the world for their hard work and commitment. My sincere thanks to all our customers for their patronage, patience and understanding. 
 We apologize for the inconvenience caused by delays of certain models in certain markets. And please be assured that Nissan is fully committed to delivering your desired models at the earliest possible date.  
 Now let me start with an overview of total industry volumes and Nissan's retail volume trend globally and in our core markets. As I mentioned earlier, our industry continued to suffer disruptions from the pandemic impact and supply chain volatility driven by global semiconductor shortages. As a result, total industry volume in the 3 months to December 31 declined 18% from the same quarter of the previous year. Despite that, globally, Nissan outperformed the industry by 2 points with the retail volume down only by 16% versus corresponding period of previous fiscal year.  
 Among our key markets, in the United States, our performance outperformed the industry by 1 percentage point in a market that declined by 21%. While in Japan, we outperformed by 3 points where the market fell by 19%. China was 6 points better against 27% decline. And Europe outperformed by 3 points in a market that contracted by 21%.  
 In the third quarter of 2021, we delivered 904,000 retail units amidst lean inventories at our dealerships. My sincere thanks to Nissan dealers for their understanding and efforts to align with us on the supply chain situation. 
 In Japan, unit sales were 94,000; in China, 313,000; in North America, 262,000; and in Europe, 90,000. In other markets, volume held up at 146,000. 
 This shows the serious impact of the pandemic disruption and supply chain shortages across our key markets this quarter. However, in key segment areas, Nissan outperformed the market with increased share, reflecting encouraging demand for our most popular models.  
 For example, in the compact car segment in Japan, our all-new Note and Aura models commanded a segment share of 13.9%, up by 6.6 points on the same quarter of fiscal year 2020. 
 We saw even stronger growth in the United States for midsized pickup where the Nissan all-new Frontier held 13.1% of this key segment, an impressive increase of 7.2 points on the same quarter of the fiscal year 2020. The all-new Rogue secured 7.3% of its segment, up 1.7 percentage points on the same quarter the prior year. The all-new Pathfinder also performed solidly in the ultra-competitive U.S. market for large-sized SUVs with a segment share of 3.7%, up 0.7 points. 
 In China, one of the world's most competitive markets, our Sylphy model captured 19.2% share, up 4.6 points year-on-year. In calendar year 2021, Sylphy achieved the status of #1 sales model maintaining its segment-leading position from the previous year. 
 And in India, the all-new Magnite did well in the crossover segment with a share of 4.5%, up 4.2 points.  
 I'm happy to see that the customer acceptance for the new models in these important markets remained strong. Nissan continued to make progress, thanks to the strong customer acceptance of our products with advanced technologies. Our model evolution underlines the quality, engineering reliability, innovation and value represented by Nissan vehicles. For example, our all-new Note and Aura models in Japan won the 2022 Japan Car of the Year Award as part of a triple crown of accolades that recognize their distinctive styling, electric drivability and refined quietness. 
 While our compelling new products are clearly meeting customer aspirations, our digital platforms continue to enhance the positive customer experience. This is demonstrated by a strong increase in our customer interface with 18% in third quarter with respect to first half demonstrating an increase of 1.6 points globally. 
 In specific markets such as United States, we saw a 6-point increase in digital sales experience on BUY@HOME platform. Due to the strong support from our dealers for this digital platform, our total sales through this channel rose 2.8x from the first quarter. We wish to continue this positive trend by expanding our digital customer experience to all core markets in the next fiscal year. 
 Because of all these positive shares, we saw an increase in net revenue per unit for our new models. In Japan, Note and Aura was up by 23%. In the United States, the all-new Rogue was up by 12%. And in Europe, the all-new Qashqai saw a 32% increase. As a whole, our global net revenue per unit increased by 13% versus third quarter of FY 2020, building on sequential growth as we enhanced our quality of sales. 
 Most importantly, we returned to positive auto free cash flow in the third quarter on a proportionate consolidation basis, which includes our China JV operations. This reversed the negative trends seen in the first and second quarter. We reported free cash flow of JPY 36.5 billion on a proportionate basis and saw a significant improvement on an equity basis, which excludes our China JV operations.  
 Turning to the financial performance for the 9 months ending December 31, 2021, we delivered stronger-than-anticipated results despite the challenging environment. This slide shows our key financial performance indicators on both the China JV proportionate basis and equity basis for the 9-month period. 
 On an equity basis, which excludes contribution from our China JV operations, our operating profit for the April to December period was JPY 191.3 billion with an operating margin of 3.1%. The net income was JPY 201.3 billion. Free cash flow for the automotive business was negative JPY 350.2 billion. This is due to working capital usage resulting from the lower production caused by the semiconductor supply shortage. As production recovers, we are seeing and we will see our working capital needs decrease, thus releasing positive cash flow. Net cash for the automotive business was JPY 646 billion. 
 On a proportionate basis, which includes our China operations, our operating profit for the 9 months reached JPY 284.5 billion, representing an operating margin of 4%. This is well above our Nissan NEXT operating margin milestone of 2% for this fiscal year. Net cash for the automotive business exceeded JPY 1 trillion.  
 We continue to maintain strong levels of liquidity. Our cash and cash equivalents for the automotive business was approximately JPY 1.6 trillion on an equity basis. We also maintained approximately JPY 1.8 trillion of unused committed credit lines.  
 Turning now to the operating profit variance analysis. For the 9 months ending December 31, 2021, this slide shows the variance from the last year's operating loss to this year's operating profit. Foreign exchange had a positive impact, primarily due to the strong U.S. dollar. The increase in raw material prices had a negative impact of JPY 81.1 billion as a result of price hike in materials such as steel, aluminum and rhodium. 
 The main driver for the year-on-year improvement in profitability is our continued efforts to improve sales performance, which had a positive impact of JPY 312.7 billion. This was mainly driven by transformation strategies, including our commitment to quality of sales, the focus on core models and core markets, meeting customer demand and diligently managing the semiconductors issue. 
 Monozukuri performance had a positive impact of JPY 33.4 billion, primarily due to the improvement in operational efficiency. Other items had a positive impact of JPY 10.5 billion.  
 Now next is the income statement for the 9 months ending December 31, 2021, on an equity basis. Net revenue increased 15.7% and improved by JPY 836.6 billion from the previous year to JPY 6.2 trillion. Operating profit increased by JPY 322.9 billion to JPY 191.3 billion, representing an operating margin of 3.1%, an increase of 5.6 points from the previous year.  
 Net income increased from previous year by JPY 569 billion to JPY 201.3 billion due to improvement in the operating profit. We also generated positive nonoperating income resulting from the significant contributions from the equity method companies and extraordinary income, which included the gain on our sale of Daimler shares in quarter 1 of this fiscal year. 
 In addition to the improvement shown in the 9-month period on a year-on-year basis, the columns on the right show the progress we made in quarter 3 year-on-year.  
 Turning now to our outlook for the fiscal year 2021. Based on our quarter 3 year-to-date performance, which has already exceeded our previous full year operating profit outlook, we are revising our operating profit outlook from our earlier first half announcement in November from JPY 180 billion to JPY 210 billion. We are expecting a JPY 10 billion positive impact from foreign exchange, primarily due to the devaluation in the yen. An additional positive impact of JPY 10 billion comes from our performance improvement, including the enhancement of quality of sales as well as cost optimization. Our investment in new vehicles and advanced technologies remains unchanged as we focus on future prospects to support electrification and vehicle intelligence under Nissan Ambition 2030. Raw materials are also expected to have a JPY 10 billion positive impact due to updated price assumptions. 
 This is the summary income statement for the outlook for this fiscal year. At first, we are maintaining our sales volume assumption of 3.8 million units. Net revenue is expected to increase by almost JPY 850 billion or more than 10% from the previous year to JPY 8.71 trillion.  
 Net income is expected to increase by more than JPY 650 billion from the previous year to JPY 205 billion. 
 Operating profit is expected to increase by JPY 360 billion from the previous year to JPY 210 billion, representing an operating margin of 2.4% without our China JV operations and 3.2% with our China JV operations. 
 With this strong momentum, we are very confident of achieving the Nissan NEXT operating margin target of 2% on a China JV proportionate consolidation basis for this fiscal year. 
 In conclusion, I want to reiterate that Nissan has and is demonstrating robust progress driven by strong customer acceptance of our products and technologies, and in addition, our discipline. At the same time, we are maintaining our concentrated efforts to increase operational efficiencies to realize Nissan NEXT transformation plan. Given the unpredictable environment surrounding us, we are approaching the period ahead of us with cautious optimism, and we will remain decisive and focused on driving innovations that enrich people's lives. 
 With Nissan Ambition 2030, we are now shifting gears towards a sustainable future to help build a cleaner, safer and more inclusive world. Our ambition is already in motion. We are well positioned to build on our electrification strategy, and our product expansion will include in the inaugural sales of the Ariya and the Kei EV.  
 We are also extending the availability of e-POWER models in China. Our product offensive will be complemented by our human-centric technologies like ProPILOT systems and game-changing innovations such as all solid-state batteries and more EV platforms. 
 With the challenged spirit that is part of Nissan's DNA, we will continue to provide value and to focus on our core strengths. While challenging the status quo by driving excitement through our indomitable Z model and our legacy in SUPER GT and Formula E Championships, Nissan is leveraging our accumulated experience to grow the company by generating additional value to sustained growth in the new electrification age and by pursuing business opportunities to help drive long-term profitability.  
 The entire Nissan team shares this vision, a vision that we are determined to realize with our Ambition 2030 plan and the Alliance 2030 plan. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Now we would like to move on to the Q&A session. [Operator Instructions] 
 Nihon Keizai Shimbun, Asayama-san. 
Ryo Asayama: [Interpreted] Do you hear me? This is Asayama. 
Sadayuki Hamaguchi: [Interpreted] Yes. Go ahead, Asayama-san. 
Ryo Asayama: [Interpreted] Okay. This is Nikkei Shimbun, Asayama speaking. This time, free cash flow of the automotive business because of the semiconductor supply issue, the working capital deteriorated and it was negative. That's what you presented. In the 3-month period, for Q3, in Q3, it's a positive number. But how about the full year? When will it be positive in the full year? When can you make a positive free cash flow for the full year? When will it be?  
 And the second question, if the free cash flow becomes positive, but there were some checked boxes. What's the dividend payout? When will you be able to resume the payment of dividend? What's the visibility? And where are you today? These are my questions. 
Ashwani Gupta: Thank you, Asayama-san, for your question. Let me summarize where we are on the Nissan NEXT. Nissan NEXT, we had the 3 pillars. The first one was the rationalization to reduce our capacity from 7.2 million to 5.4 million. And as a result, we wanted to achieve more than JPY 300 billion of fixed cost reduction. So today, we are more than JPY 350 billion of fixed cost reduction.  
 The second pillar was focus on core markets and the core models and improve the quality of sales. At that time, we targeted our net revenue per unit to increase by more than 10%, and we are today more than 10%.  
 The third pillar was sow the seeds for the future, and we said in Nissan NEXT we will launch 12 models in 18 months. And with the launch of Kei EV, we will be finishing 12 models in 18 months. Despite all the headwinds which we had because of pandemic, because of semiconductor, we kept our promise. And hence, we are able to reduce our break-even point less than 4 million, which definitely is impacting positively on our free cash flow.  
 On the other side, the headwinds of semiconductor reduced the volumes and which has an impact on the working capital. 
 So as far as our foundation is concerned, our foundation of the business transformation is already made with all these 3 indicators. And now moving forward, more and more, we will go by the production of the profitable volumes. More and more, we will be generating the cash. So quarter 3 is positive with China; and without China, it is close to breakeven. And of course, quarter 4, because of the production we have, there's a high chance that we will be positive. Of course, the full year will be very difficult to be positive. And as you know, we don't forecast the free cash flow, but our foundation is in place and more -- and when we move forward with the volumes obviously it will impact our financials positively. 
 Now answering to your second question, I remember we talked about ticking the boxes, and thank you, Asayama-san, that you remember what we said. Right from the first day when we announced our Nissan NEXT, we have been saying that there are 4 boxes, which needs to be ticked.  
 The first one is the operating profit, which is positive now. The second is the net income, which is positive now. And third, we said that second half of financial year 2021, we would like to be positive and looks like we are positive. And the fourth, our net cash should be healthy, which you can see today. That numbers are right. 
 So what we can say today that the boxes are being ticked and the numbers are right and moving in the right direction. However, with the pandemic, with the semiconductor, what happens in 2022 we want to take time and we will be deciding about the dividend on our annual 2021 financial announcements. Hope it answers your question Asayama-san. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Moving on to next question. Yomiuri Shimbun, Nakanishi-san, please. It's your turn. 
Yo Nakanishi: [Interpreted] This is Nakanishi of Yomiuri Shimbun. Do you hear me? 
Sadayuki Hamaguchi: [Interpreted] Yes, we do. 
Yo Nakanishi: [Interpreted] I have 2 questions. The first one, according to the media report, you found out that you are going to stop the development of the engines for ICE in Japan and Europe and China. You are going to stop the engineering work for the ICE engines in phasing process. Is it true? 
 And with regards to shift to EV, I'm sure you are promoting EV shift going forward. How are you going to secure R&D expenses and other human resources? What's your strategy here?  
 And there's another thing, which is about production. Sales volume of 3.8 million units stays as it is. But if you look at today, because of Omicron, you are suspending the production operation here and there. And today, the present situation, is it better or worse than what you have assumed? What's the visibility going forward? How do you assess where you stand today? What's the visibility going forward between April and December because of the semiconductor and COVID-19? What's the volume impact? Is there any specific number that you can share with us? That's all. 
Ashwani Gupta: Thank you. Thank you for your question. At first, I'm very impressed that everyone is taking so much of interest in Nissan and really thank you for taking that interest. Normally, we are responsible for our product strategy, but with your kind inputs, I think our product strategy can be more stronger. So thank you for your input towards our electrification strategy. 
 So what we have decided that we will not develop the ICE engine in European market because at the time of Euro 7, we do believe that customer will have to pay much more for a ICE car than electrified car. It's not us who is deciding, it's customer who will say that the electric car has more value than an ICE car. That's why for Europe, we are not going to do any more ICE engines after the Euro 7.  
 However, on the other side, we have customers and markets who have aspirations of different kind of powertrains and we have to follow them because, at the end, we are here for customers. And as you saw that Z we launched with V30, twin turbo engine with all new 9 auto speed and 6 manual speed transmission. And very recently, for the all-new Rogue in United States, we launched 1.5 liters variable compression twin turbo engine. So we are not going to stop our ICE engines in these markets where customer exists, and from the business viewpoint, it makes sense. So that's the question.  
 So I would like to do a very small fine-tuning, but which is a big fine-tuning that Nissan has decided not to do ICE engines in Europe from Euro 7, but Nissan will continue to do ICE engines as far as it makes sense for the customer and for the business. So that's to answer your first question. So thank you for that.  
 Second, I talked about our shift to the electrification. For Nissan, electrification should be the consequence of the natural choice of the customer. We want electrification to happen naturally. That's why we started electrification in 2010 when customer didn't exist, the market didn't exist. The environment was not asking it, but Nissan did battery electric car. So we want a natural shift. And that's why what we announced in Ambition 2030 is a JPY 2 trillion investment in next 5 years to launch 15 battery EVs and 8 e-POWER, which mean 23 electrified cars by 2030 to reach 50% of our electrification mix. So that's what we announced. 
 As far as resources are concerned, because we are gradually shifting from ICE to e-POWER to EV and addressing each market's need, we are very smartly reallocating the resources and upgrading the skill and competencies of our R&D and the manufacturing.  
 The third question is about the semiconductor. Yes, we are confident that we will hit 3.8 million retail sales as of today, and we do believe we are going to do that. Of course, we have to monitor it on a daily basis. Having said that, people's safety remains our first priority. And that's why with the flexible allocation of the semiconductors and seeing the Omicron spread, we are managing our more than 40 plants around the world to have 3.8 million.  
 Now the last question, which is very difficult to answer, but still I would like to answer because we are coming close to the financial year. And every time you guys asked us what is the loss because of semiconductor, and every time we said it's difficult. Today also I say it's difficult to answer the questions because there's so much product mix and the market mix. Even then, when we announced our full year, we said 4.4 million; and today, we are saying 3.8 million. So if we do the mathematics, we lost 600,000 semiconductors. Now I cannot say is that the maximum or is it the minimum because maybe the market demand maybe we would have done better than 4.4 million in this year. 
 So I hope that answers all your question. Thank you once again for having interest in Nissan, especially in our product strategy. 
Sadayuki Hamaguchi: [Interpreted] Thank you very much. We now go on to the next question. NHK, [ Taruno-san]. 
Unknown Attendee: [Interpreted] [ Taruno ] of NHK. I hope you can hear my voice. 
Sadayuki Hamaguchi: [Interpreted] Yes. Please go ahead. 
Unknown Attendee: [Interpreted] It's a follow-up question to the previous question. First of all, one point. According to last night's report, Japan and China market ICE engine vehicles, you will gradually reduce and eliminate gasoline engine development for the Japanese and Chinese market. But what's your plan for the Japanese and Chinese market? 
 And you have ICE engine plants domestically. What's your personal plan for those facilities? And what is the system or plan for personnel allocation? 
 Another point, most recently, there's been significant increase in commodity prices, raw material prices. And what's your take on the spike of raw material prices? Those are my questions. 
Ashwani Gupta: Thank you for your question. So I think I tried to answer to the previous question on our electrification strategy and the shift. For Japan, what we announced in Ambition 2030 that Japan should have a mix of 55%, which means 45% still will be the ICE vehicles. That's why what was reported, I don't know, but our product strategy is very clear and Japan is a very important market for us. 
 However, we are gradually shifting towards electrification to have that in mind that by FY '26, Japan will be 55% when Europe will be 75%. So -- but that's the hypothesis today. Maybe Japanese customers will say, no, no, no, from tomorrow, we need more electric vehicles. And our plants, you know that we announced Nissan Intelligent Factory in Tochigi, we have a battery plant in Japan. We are all ready the moment customer is moving forward.  
 I think your second question was -- sorry? 
Stephen Ma: Raw material. 
Ashwani Gupta: About the raw material, well, thank you. You saw that with respect to the last year, we had a raw material hit and I think every automotive manufacturer has the raw material hit. Let me say that how we manage the raw material, at first, raw material belongs to the Alliance purchasing organization. So which means we have economy of scale where the Renault, Nissan and Mitsubishi have the contracts with the raw material suppliers. So I think, at first, because we have a predictive buying as 3 companies, we have a benefit over there. So that's the first thing.  
 The second thing is being Monozukuri very strong in our company, first thing we do is to reduce the consumption of the raw material. And especially in 2021, what we did is to reduce the consumption of the precious metals because the rhodium, the platinum, these costs were going high. So that's why we reduced those with the latest technologies we have on the emission.  
 And third is, obviously, we are in the market. We don't want to increase the price for just the sake of the raw material price increase. As I have explained before, we create the value and then customer is willing to pay, and that helps us in offsetting some of the raw material costs which we have. And this is what exactly we did before. So passing on the raw material price to the customer is the last option and it must be in line with what customer is willing to pay is our strategy for the raw material pricing. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you. Okay. Moving on to the next question. Wall Street Journal, Sean. 
Sean McClain: I'm wondering if you guys could give me a bit more on how you feel you're doing on your recovery process. I mean Ashwani, you gave us some numbers showing that you're beating a declining market by a few percentage points, but that isn't the direction you guys want to be going, right? You want to be doing better than that, I presume. 
 So when is the growth period coming? I mean when are you guys going to start turning that -- sort of the cost savings into a rebound into growth because you're well below your numbers from a couple years ago. So I mean how much longer do you think it's going to take?  
 And the second question and sort of more immediate industry situation, when do you guys at the Alliance, and Nissan in particular, see the semiconductor problem resolving itself? When is that problem going to go away for you? 
Ashwani Gupta: Thank you, Sean. I think both the questions are interlinked to each other. I think 2 years before we were answering the question, how you will improve the sales in United States. I think 2 years after, the question is totally different, how many we can produce. So our problem is not how many we want to sell. Our problem is how many we can produce. We are already in the growth period if we look at the market. Everywhere, we are gaining the segment share. And everywhere, we are gaining the market share.  
 Now more and more semiconductors we get, more and more growth we will have. That's what we can answer to you today. As I said, we were anticipating 4.4 million. We are only at 3.8 million. In 2022, our business plan will be driven by how many cars we can make rather than how many cars we want to sell. 
 And I think then it answers to your second question. We have taken a lot of major actions with our suppliers in a very collaborative way, which means giving them a very accurate forecast for 1 year, 2 years, 3 years, having a digitalization in the supply chain and so on. And now we are living in a new normal. New normal means our production plan is flexible, which is working on weekly basis and not on a quarterly basis. So which means we have learned how to live in new normal, and we will live in new normal. 
 Now whether semiconductor problem will go away tomorrow morning, I don't think so. Even if we fix the automotive supply chain for semiconductors, but we have to understand that nonautomotive supply chain who is controlling in terms of what is the market size, what is the customer trend, how many semiconductors will be needed in the nonautomotive industry? I don't think as far as I'm concerned that I have seen any structured process of estimating 10 years' demand for semiconductors on nonautomotive industry. 
 Whereas in automotive industry, we have a structured process that this is the population, this is the GDP, that's why the TIV will go from 80 million to 90 million to 100 million. Still we have some kind of mechanism to do that. I think there is a high need that automotive and nonautomotive markets, they come together and start predicting what will be the real demand in the future and aligning ourselves. Hope it answers your question, Sean. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much for the exchange. Moving on to Asahi Shimbun, Kamiyama-san. 
Junichi Kamiyama: [Interpreted] Yes. This is Kamiyama speaking. Do you hear me? 
Sadayuki Hamaguchi: [Interpreted] Yes, we do. Go ahead. 
Junichi Kamiyama: [Interpreted] Yes. I have a couple of questions. This is related to the earlier question that -- which was raw material price hike. Other carmakers like foreign manufacturers, they are pricing the raw material price hike and many products are increasing its prices. As of today, do you have no intention to price the raw material price hike on the product prices? 
 And Omicron variant, because of the spread of COVID-19, how does it affect the operation? In Omicron, the number of people who are infected are large so there are increasing number of companies suspending their operations, and this may affect the production operation or even suspend the production operation. This is highly risky. So what will be the impact on the vehicle production? How are you going to minimize this risk? Are you taking any actions? What's your policy around this? 
Ashwani Gupta: So I think for raw material, I answered in the previous question, but maybe it's a great opportunity to ask question. Maybe Stephen, if you can share your views on raw material, how we are managing raw material in our company. 
Stephen Ma: Yes. So Kamiyama-san, thank you for the question. As Ashwani mentioned, raw material prices have been going up. And for some precious metal, it has peaked and come down slightly. But for the critical raw material for us, which is steel and aluminum, it still keep going up. 
 So what we've been trying to do, as we mentioned earlier, we try to be making sure that we are taking care of -- taking advantage of our Monozukuri strength and our engineering and be more efficient -- or use better materials or use trade-off to make sure we have -- minimizing the cost impact.  
 Financially, obviously, we try to buy as much as possible lower prices and also do some might minimal -- or some hedging to some extent to cover our cost. On the pricing side, as mentioned also by Ashwani, what we want to do is not to simply pass the price to customer. It's the last resort. We want the customer to really recognize the value of all the good things and great technology we put in our cars. And I think already in all our markets, we have demonstrated and proven this point. We keep showing every quarter the revenue for the new models. This is, right now, including all the costs and everything that we already have in our -- producing this vehicle. 
 So I think the customer clearly accepting the value proposition that we have in the car. And if we can continue like this, I think, as a company compared to others, we are more competitive in my opinion than just simply passing on price. 
Ashwani Gupta: Yes. Thank you, Stephen. So regarding your second question, yes, Omicron is spreading. As I said, for us, safety first. We take relevant actions, all the precautions and we have included all the risk which we have on it, of course, the risk which we anticipate. So that's why I think you would have calculated that the quarter 4 retail sales is less than quarter 3 retail sales because we have incorporated all these kind of measures, which we are taking for the safety of the people, but on the other side, the continuity of the business. Hope it answers your question. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much. Okay. We are running out of time, so we will take 2 more people to ask questions. The first one, Automotive News. Hans, it's yours. Thank you. 
Hans Greimel: Hans Greimel from Automotive News. I just wanted to ask your opinions, Mr. Gupta and Mr. Ma, about the operating profit breakdown for the third quarter by region. And I'm looking at the North American figures, in particular. North America seems to come in very strong. I'm wondering if you can maybe dissect that and tell us a little bit about what is contributing to the huge increase in North America. And what is the significance of North America as the profit driver this time around?  
 A second question would be this. How does INFINITI play into your 2030 vision at this point? We didn't hear much about the electrification plans for INFINITI. It makes me wonder how committed the company is to the brand in the long term. Can you give us any kinds of evidence or tips or insights into what your electrification plan is for INFINITI so that we can have confidence of your commitment to the brand? 
Ashwani Gupta: Thank you, Hans. So I think I will request Stephen for the details of the profitability. But before that, if you look at United States business, first, a big picture. We always have been saying 5 things that we wanted to do in U.S. to turn around the business. The first one was driven by the product. And the product means we will renew the products starting from Frontier, from Rogue, from Sentra, from Pathfinder. So by end of this year, in FY '22, 75% of the U.S. product lineup will be renewed. So that's the first thing which we said, and we have done it.  
 The second thing, which we said was focusing on quality of sales and changing our sales strategy from push to pull and changing the culture from volume to value, and this is what we have demonstrated. As a result, we are getting better net revenue per unit. And it gets into the profitability not only of us but also of dealers, which means that dealer engagement has been very strong when it comes to United States.  
 In last 15 years, this is the first time when Nissan is the first Asian mass-market brand in the United States. In 15 years, Nissan is the first Asian brand and is among the top 5 global brands in United States, which represents that through product and through our quality of sales, we are building up our brand in United States. 
 Then the new activities which we have launched, first, for example, BUY@HOME, especially during the pandemic, more than 680 dealers are fully engaged in this platform, which is not to save the cost, which is to improve our selling operations, which is to improve our customer conversion rate in that.  
 Then the fourth point, we talked about sales finance. 60% of the U.S. cars are now sales financed through our Nissan NMAC. 
 And last but not the least, we talked about fixed cost. We reallocated the models in Smyrna and Canton based on sedan and SUVs and we reduced our fixed cost. 
 So these 5 actions and, in addition, the governance which we put with the new leadership team helped the United States to turn around the operations and get into the growth part. 
 Maybe, Stephen, you can mention that how this increase in net revenue per unit is impacting the P&L not only for U.S. but also globally? 
Stephen Ma: No. I think, Ashwani, you gave a very comprehensive answer. Obviously, on the business transformation side, we've done everything: product, the way we do business, focusing on value proposition, focusing on the margin, [ still ] just market share. All the good things that leads to a virtuous cycle and is permeating through the whole company. And as mentioning, it's becoming -- creating a virtuous cycle, including sales finance. 
 But more importantly, in addition to the business transformation, the cultural transformation of our whole team in North America is fantastic. I think everybody is focusing on delivering the right product service to the customer. So it's much more customer focused, and we're making sure we're doing things for the mid and long term, not just simply for short-term gains, which was a huge departure from the past.  
 Now for the detailed breakdown, I think you see in appendix some of the numbers for North America. Volume is down, but I think you can see also the mix is a huge positive improvement as well as selling expense is contributing quite a bit. And on top of that, of course, with the weaker yen, the profit we make in the U.S. translate into more yen in mother company here in Japan. 
 So it's all adding up and it's helping us quite a bit. And right now, with the new product that we have launched, with the new one coming out, we have very, very strong momentum. I'm hoping that we can give more semiconductors, as Ashwani mentioned. It's not a matter of demand or if we can sell, it's a matter of how much we can produce. Hopefully, that answers your question. If you need more financial detail, I can provide separately a little bit more. 
Ashwani Gupta: Yes. I think that's -- for INFINITI, Hans, so INFINITI is included in our Ambition 2030. And as Nissan Motor Co., as a company, we will move forward towards a natural shift to electrification. INFINITI will be part of it. We will be sharing the details with you soon. 
 In addition, the progress which you see on INFINITI in United States with the launch of new models is exactly doing the right thing, same as the Nissan brand is doing. So for electrification, please wait, but INFINITI is part of the electrification strategy. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much. Very last person who will be asking the question. Toyo Keizai, [ Yokoyama-san ]. 
Unknown Attendee: [Interpreted] Yes. This is [ Yokoyama ]. Do you hear me? 
Sadayuki Hamaguchi: [Interpreted] Yes. We do. Go ahead. 
Unknown Attendee: [Interpreted] Yes. I have 2 questions. The first question is about supplier-related question. Your performance is picking up, I understand. But when it comes to sales incentives are reduced and new cars are contributing largely to the profit, but this is not contributing to suppliers' results. The production is volatile. So [ loss ] cost at suppliers may be increasing and they are facing difficulties. How do you assess the supplier's performance today? As a carmaker, are you thinking about providing support to the suppliers? This is the first question.  
 And the second question is of Tesla. Last month, Tesla provided the information of fully announced -- full year financial, more than 10% operating profit and 900,000 units or more of sales volume. As an EV pioneer, Nissan, I think you are a pioneer of EV. But looking at the performance of Tesla, how do you assess it? What's your personal perception, Gupta-san? That's my second question. 
Ashwani Gupta: That's a great question. Thank you. So at first, for the supplier relationship, we have changed the way we work with our suppliers from cost negotiation to cost discovery. Our Monozukuri teams are working with suppliers hand-in-hand to make more and more cost improvements through the design activities, engineering activities and so on. 
 The score is also public that -- the relationship score between suppliers and Nissan, especially in North America, has moved up in 1 year since we changed this culture. I'm saying -- still a long way to go, but we are working together towards the Ambition 2030. And I personally have requested the Nissan key suppliers to prepare their financial plan focusing on more business growth driven by innovation, driven by not volume, but driven by value. 
 This is where we would like to take the relationship as we did dealer relationship. Now we are working on supplier relationship to take it to the next level. We are aware of the challenges our suppliers are facing because of the semiconductor crisis. We don't want to do something specific, but we are working very closely with them to support the business continuity.  
 Now on the Tesla, as I always say, the great thing about Tesla is they have created the awareness among the people. In 2010, when Nissan was pioneer and launched the first battery electric, LEAF, customer didn't exist. Market didn't exist. Infrastructure didn't exist. No government asked for it. There was no environment regulation, which was forcing us to launch battery EV, but we did it because we wanted to demonstrate our innovation by putting it on the road. But there was lack of awareness and the electric market didn't grow from 2010 till recently.  
 But I think the entrance of Tesla created much more awareness, which is not only helping Tesla, but also helping us. And this is where I always appreciate and thanks to Tesla for creating that awareness. Having said that, competition always teaches something. But on the other side, we should not forget that Nissan, if we sell 5 million cars every year, this year, because of semiconductor, we do not, and if the average car period is like 5 years, so let's say, we have 25 million Nissan customers who bought Nissan because they love Nissan. So our target is not to say we will sell 900,000 or 1 million EVs, our target is how we give the accessibility of electrification to our more than 20 million Nissan lovers who are riding today or driving Nissan ICE cars. And that's why Nissan decided to be once again pioneer for the Kei EV in Japan, which is 40% of the Japanese market. Hope it answers your question. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much. With this, we would like to close the session on the announcement of the financial results for the third quarter of fiscal year 2021. Thank you for joining the session. Good day.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]